Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Scripps Third Quarter Earnings Call. For the conference, all the lines will be in a listen-only mode. There will be an opportunity for your questions, and instructions will be given at that time. [Operator Instructions] As a reminder, today’s call is being recorded. I’ll turn the call now over to Carolyn Micheli, Senior Vice President and Corporate Communications and Investor Relations. Please go ahead.
Carolyn Micheli: Thank you. Good morning, everyone, and thanks for joining us for a discussion of the E.W. Scripps Company’s third quarter 2019 results. A reminder, that our conference call and webcast includes forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. You can visit scripps.com for more information. And you also can sign up to receive emails anytime we disclose financial information and you can listen to an audio replay of this call there. The link to the replay will be up this afternoon and available for a week. We’ll hear first this morning from Chief Financial Officer, Lisa Knutson; then Local Media President, Brian Lawlor; and National Media Executive Vice President, Laura Tomlin; and finally from President and CEO, Adam Symson. Also in the room with us today is Controller and Treasurer, Doug Lyon. Lisa?
Lisa Knutson: Good morning, everyone. Today we’re pleased to once again report quarterly and financial results across the company that met or exceeded expectation. During the third quarter, we closed on our third television station transaction of the year. On September 19, we completed the purchase of eight stations being divested by Nexstar and Tribune and their merger. On May 1st, we closed on 15 stations from Cordillera, and on January 1st, we closed on the acquisition of three stations from Gray and Raycom. Today, I will discuss our financial results affiliate on all the new stations since January 1st of 2018. In today’s press release, you can find the results on both in as reported basis and on an adjusted combined basis. We hope this presentation gives you a clear picture of our growth. Also I wanted to point out that three consensus estimates are not comparable to our third quarter results or fourth quarter guidance. Some analysts have already submitted new estimates incorporating the Nexstar-Tribune divestitures, and some have not, so consensus reflects a mix of numbers. Now, let's talk about our strong third quarter performance. In our Local Media division, on an adjusted combined or same station basis, revenue was $305 million or 12% -- a 12% decline from the third quarter of 2018. And last year's third quarter, we had about $57 million in political ad revenue on an adjusted combined basis compared to about $5.5 million in 2019. Court advertising was up nearly 4% on an adjusted combined basis. Retransmission revenue was $109 million. Expenses for Local Media were flat. Now let's talk about the rest of the company's Q3 results on an as reported basis. The National Media division delivered strong results for the quarter. The division exceeded our revenue guidance of $90 million, coming close to $100 million for the second consecutive quarter. Expenses were in line with expectations. Segment profit for National Media came in at $5.3 million, down a bit from Q2, as we had expected. Shared services and corporate expenses were about $14 million. For the third quarter, the company's loss from continuing operations was about $22 million, or $0.27 per share. Pre-tax costs for the current quarter included about $17 million of acquisition and related integration costs that increased the loss by nearly $13 million net of taxes. That works out to $0.16 per share. So we would have reported a loss of $0.11 per share, if you exclude the impact of non-core items. Our capital expenditures for the third quarter totalled about $11 million, including just under $3 million for the FCC repack. We expect to be fully reimbursed by the federal government for our repack costs. Turning the capital allocation, the company made about $4 million in dividend payments in the third quarter, and $12 million year-to-date. No shares were repurchased during the quarter. We expect to stay out of the market, while we focused on paying down debt. On September 30th, cash totalled $87 million, while total debt was $1.98 billion. Next year, we expect to benefit from our newly expanded national footprint to capture even more political advertising dollars and more value from the contractual reset of about half of our Pay-TV subscriber household.  And a reminder, those contract resets come after the Comcast household reset on January 1st. Because of the actions we've taken over the last two years, we've significantly improved the cash flow profile of the company. As we previously stated, we expect 2020 company free cash flow to fall in the range of $225 million to $250 million. With that level of cash flow over the next 12 months, we expect to deliver to the low to mid-fours. Now I'd like to touch on some highlights of our fourth quarter guidance. In today's press release, we provided Local Media revenue and expense and retransmission guidance on an adjusted combined basis. The eight Nexstar-Tribune stations are now included in all periods, along with Raycom and Cordillera stations. We released tables giving the adjusted combined historical results as a part of our press release on September 19th. For the fourth quarter, we expect Local Media revenue to be down in the low 20% range in comparison to Q4 of 2018. That's because our fourth quarter of 2018 political ad revenue was $114 million on an adjusted combine basis. Fourth quarter Local Media expense is expected to be down mid single-digits. Just a reminder, that in Q4 last year, we had a $9 million programming impairment charge and also some one-time costs. We expect retransmission revenues to be up in the low single-digit range over our adjusted combined results for Q4 of ‘18. We have no significant contract renewals are stepped up in 2019. We expect National Media revenues of between $100 million and $105 million and expenses in the high $90 million range. Expenses include the investments we’re making this year in Court TV to grow its distribution to 90% of US TV household. We’re expecting the shared services and corporate lines to come in at about $14 million again this quarter. And now here is Brian to discuss our Local Media results.
Brian Lawlor: Thanks, Lisa. Good morning everybody. Through Scripps we’re winding down on a really busy year. We’ve acquired an on our onboarding 27 new TV stations, including seven former Tribune stations and one former Nexstar station that officially joined us on September 19. Having gone from nine stations to 60 in the last 10 years, we’ve gotten a pretty good in integrating television stations. A key element of our onboarding is sharing with our new employees, The Scripps cultural values, our mission of producing meaningful story-telling and our expectations for high professional performance. In addition to the cultural onboarding, our integration process includes capturing the greatest possible efficiencies and synergies from our acquisitions. We’re quickly moving our new stations to our many centralized systems, these include graphics, master control and ad trafficking. Today as the fourth largest independent broadcaster, we’ve created a company with authentic local connections combined with broad national reach. This captured cost efficiencies that also free up our local teams to focus on reporting the news and providing an object platform for local businesses. As a result of our growth, Scripps is a stronger, more durable and more efficient local broadcaster. Now I’d like to turn to our core advertising business. During the third quarter, seven of our eight largest ad core categories grew on a same station basis. Among them services, retail, home improvement and communications, all showed nice year-to-year growth. Specifically, the home improvement category continues to be especially strong. All of these categories reflect the health of our local economies and that consumers are spending in our local markets. It’s also good to see retail performing well as we move into the holiday season. We are pleased that third quarter’s categories strength has continued into the fourth quarter. October finished as one of our strongest ad sales months of the year. Our political advertising revenue was very strong for an off-cycle election here. Our newly acquired stations put us in Kentucky and Louisiana where we just saw competitive governor races. And we now have two stations in Virginia, which benefited from very active state races. So we now have a steady stream of odd year political revenue. By election-day this week, we have brought in more than $11 million of political advertising for the first five weeks of the fourth quarter. That puts us at more than $20 million of political ad revenue this year on a pro forma basis. Finally, I’d like to discuss our Katz multicast business, which reports to me and appears in the National Media segment financials. In October, Katz launched Court TV on the former Tribune stations. And as a result of that additional distribution, the network now reaches 90% of U.S. households over the year, and 40% of all cable homes, as well as global audiences on an over the top platforms. And the docket at Court TV is looking compelling. We've got the high profile trials of Harvey Weinstein and R. Kelly just around the corner. At the same time, Court is producing original programming, including an extensive 37-week series about the O.J. Simpson trial. We expect Court TV programming that continued to draw big audiences to our nearest Katz network. And now here's Laura.
Laura Tomlin: Thanks, Brian. Good morning, everyone. I'd like to start by echoing Brian's enthusiasm for the warm audience reception and the rapid distribution growth of Court TV. Our businesses across the company have come together to support the Court TV launch. Our local TV stations with Newsy have provided ad inventory for promos of Court TV programming, WPIX in New York interviewed anchors Vinnie Politan and Seema Iyer. We helped Court TV launch a podcast, and we promoted Court TV on NASDAQ's Time Square billboards. From a marketing and content perspective, Scripps is tapping into time, talent and media assets across the Local and National Media businesses to support Court TV. And we are using the same techniques to raise the profile for our other brands as well. This is yet one more advantage of our platform as a larger and stronger media company. Turning to our third quarter results, the National Media division, again, neared $100 million in revenue. That performance includes nearly 20% revenue growth at Katz, 40% growth at Stitcher, and 75% growth at Newsy. As we look to the fourth quarter, we see Stitcher and Newsy moderating a bit as they come up against some tough comps from the fourth quarter of last year. You can’t continue to look for strong double-digit growth rates from these fast growing businesses. At Stitcher, we just launched a hit podcast that went straight to the top of the chart, Office Lady. The show debuted in mid-October featuring two stars of the hit sitcom, The Office, Jenna Fischer and Angela Kinsey. The two real-life best friends dissect the TV show, one episode at a time, and as you would expect, with great humour. Office Ladies' first episode has already had nearly two million downloads. A new generation is watching classic TV shows such as the Office, and they're big podcast listeners too. This is another great example of why Scripps is investing in businesses that cater to changing media consumer habits. Also at Stitcher, we've been seeing success with our shows; Conan O'Brien Needs a Friend and Getting Curious, hosted by Jonathan Van Ness of a Netflix hit Queer Eye. Stitcher just announced this week the launch of a third scripted drama series with Marvel New Media. It's called MARVELS, and it's based on the popular four part comic book. Finally, the new HBO Max OTT Service will create a television documentary version of Stitcher's popular podcast Heaven's Gate, about the California-based cult whose members committed mass suicide in 1997. These high profile shows and partnerships drive new listeners and advertisers into the expanding podcast marketplace. Stitcher is well positioned to capitalize on this growth because of its ad sales network, its owned-and-operated shows, and its listener relationships to the Stitcher podcast app. At Triton, our digital audio B2B business, we continue to benefit from the move of terrestrial radio companies onto digital platforms. Triton provides these companies with infrastructure services to convert their over-the-air broadcast into digital streams. And now Triton is able to offer these companies an end-to-end podcasting solution as well. It's a natural extension of our current services, and Triton is also now powering Stitcher’s technology platform. Finally, I'd like to discuss a number of recent wins for our national news network Newsy. Newsy’s profile continues to rise as it produces impactful investigations and major documentaries. The teams at Newsy and our Washington Bureau have dug into issues this year, including police misclassification of rape investigations, the mishandling of sexual assault cases on Native American land, authorities inconsistent use of seamless fire alert system and the impacts of climate change. Newsy has won 14 national journalism awards for to work this year. In addition, it was recently identified as the most reliable and neutral cable news network in a recent media bias chart study. Newsy's objective facts-based approach and a landscape of right or left oriented media outlets have been well received by audiences. And as the audience grows, so does the revenue, particularly in the over-the-top market for younger news consumers turn for the information and entertainment. Now, here's Adam.
Adam Symson: Thanks, Laura, and good morning everybody. This morning's announcement of Scripps’ this third quarter results marks the eighth consecutive reporting period in the last two years when we have met or exceeded expectations on key financial measures. Improving our short-term operating performance has been a top priority for this management team. And I'm pleased to see our terrific progress. In September, we wrapped up a busy M&A year when we closed on our Nexstar-Tribune divestiture stations. We are now repositioned to thrive in a consolidated media landscape. Our acquisition activity significantly improves Scripps’ reach and our operating profile with 50 stations reaching one in three American households. We've gained debt and scale. We now own more number one and number two stations, and have added second stations in some of our key legacy Scripps markets. So today, we're not only bigger, but we're better. Our station group is more durable, better performing, and we'll provide our shareholders with an excellent return on invested capital. Our broadcast business provides a firm financial foundation for the enterprise. From this solid base, we'll capitalize on future upside in that business, including through the growth of automated advertising and the emergence of new business models around next generation TV or ATSC 3.0 that are still to come. And at the very same time, we're setting up this company to significantly profit from the new ways that people are consuming media. This approach is both a hedge and a growth strategy as we make modest short-term investments that we are confident will generate significant long-term value. Our four major national businesses, Katz, Newsy, Stitcher and Triton, are in fast growing media marketplaces of over-the-air and over-the-top television and digital audio and podcasting. Our national division is rapidly grown, expanding its margins and creating brand new shareholder value. To conclude, in the short-term, we'll ring in the New Year with the reset of our Comcast households, delivering an immediate boost to our bottom line, and then we'll work to capture the full distribution value for our local brand as we reset another half of our Pay-TV households. We'll integrate our new stations and maximize the opportunity for financial synergies. We'll serve our audiences across the nation with election year reporting that informs our democratic process and is consistent with Scripps’ commitment to quality, objective and trustworthy journalism across all of our news outlets. And throughout the year, we’ll use our higher free cash flow yield to pay down debt as we move Scripps back to our historical leverage ratios. This is the growth plan we laid out to you two years ago, and this is the plan we continue to execute. And now, operator, we’re ready for questions.
Operator: [Operator Instructions] And we’ll go to the line of Dan Kurnos with Benchmark. Please go ahead.
Dan Kurnos: Thanks. Good morning. Nice progress, guys. Adam, just kind of start with the high level picture here, you talked about the consolidated landscape. It sounds like we’ve come to sort of a bit of a stand still; most of the big assets have been ticked up here. I know you guys are working rapidly towards delever. I’m just curious what you’re seeing that still out there. Do you guys have any dry-powder to go after it -- a lot of other guys are focusing more on return of cash as well. So just kind of high level picture, and if you think there is further consolidation opportunities or everyone is kind of biting time until we get to next year. And then, I guess, maybe for Brian just on political. It’s been massive so far, guys have been reluctant to talk about 20 given what happen in ‘16. But everybody is kind of inching up to new record levels. I know you guys have some interesting comps versus ‘18. So just maybe some updated thoughts there. Thanks.
A – Adam Symson: Thanks, Dan, and good morning. As we’ve said before, right now, our top priority for capital is for us to use that free cash flow to pay down debt and delever. I think the timing is actually ideal for us. I think it’s unlikely. We’ll see significant local television M&A occurred before the election. And so we’ll use that time period that we have in 2020 both with the Comcast step-ups and the reset of our additional re-trend rates along with the political cycle to pay down debt. And then we’ll address the opportunities as they come much further down the line, once we’re back to levels -- debt level that we’re more comfortable with. Brian?
A – Brian Lawlor: Hey, Dan, it’s Brian. Obviously, we feel really good about where we’re at in 2019 in the political, and what it’s telling us about next year. Just this week we wrapped up at state seats in Virginia. We did three times as much political advertising on our two stations in Virginia, as we did in 2015. And then in the Louisiana, where there is still got another seven days on the run-off for the Governor there. We’re already 100% greater than we were in 2015. And then, in the Kentucky Governor race, we’re up over 60%. So I mean just massive growth in these key markets. And I think that really telling. So obviously, we’re very optimistic about next year. We think that there’ll be more money in the ecosystem than there has ever been. And I think our footprint is excellent. I mean, as we looking at presidential, we like to get footprint a lot Florida, Michigan, Arizona, Colorado, Wisconsin, Nevada, many of those markets we own -- many of states. We own two, three stations in Florida, we own five. We’ve got three Senate races that right now, but six better considered toss ups with three okf them Arizona, Colorado and Michigan, each of those market -- each of those states, we have more and more market that we’re doing business in. We have opened Montana gubernatorial seat, and then, I don’t know something like 46 congressional races that are considered toss-ups right now. We're in like 21 of them. So I think, everything's lining up real nicely for us to have a heck of a year next year.
Operator: Our next question is from Steven Cahall with Wells Fargo.
Steven Cahall: Adam, I was wondering if you could maybe give us a little bit of an outline for what re-trends revenue looks like next year. I think maybe the markets a little focused on your Q4 guide right now, and you've got this massive step up. It does kind of leave a lot of room for interpretation after all the M&A. So could you help us maybe just benchmark a little bit of what that pro forma revenue growth is going to look like in '20?
Adam Symson: Good morning, Steven. Yeah. So on January 1st, we'll finally receive that Comcast step-up. We're obviously looking forward to that. And we think there'll be a very nice flow through on that. After that, we have another 50% of our subs that will come up and be negotiated through the year. And so, we expect, as I said in the prepared remarks, to be able to receive the full value of our distribution, of our local brands with those MVPDs. So we think it's going to be a terrific year from a re-trends perspective. Brian?
Brian Lawlor: Hey, Steven, it's Brian. I just want to jump in. I think, in the last couple of quarters, we talked about a little bit of a re-trends dissynergy on our acquisition of the Tribune and Nexstar. And really this year, a lot of that has to do with the fact that, prior to this year, we owned one CW station. And so in our re-trends negotiations, we clearly traded a little bit of that value away to maximize the value of our big 4s. But now at the end of this year, we own 13 CW stations. So our current market rate for CW is below market, and that would account for most of the dissynergies. But as Adam just said, we're about to get into 50% of our subs pretty quickly. And I think, we'll be able to recapture that value. And so we do look at those dissynergies as really short term.
Adam Symson: Yeah, I would just add just a sort of round this out. The Scripps’ re-trends trajectory is obviously very different than our peers. We've been waiting, like we've said for years, for the step-up of the Comcast households, and then we've got the additional opportunity. So we expect re-trends to have significant upside for us as we look forward.
Steven Cahall: And then maybe just on the national side, a couple of questions there. Maybe first in the audio space, you've seen good growth there with Triton and Stitcher. It seems like we're seeing some really rich multiples paid for podcast assets. So how do you think about the scale that you could be in this business versus potentially parting with some assets at some really strong multiples? And then Court TV. Is most of the advertising on that currently like direct response? And do you think there is scope to expand that as the programming increases maybe the more industry verticals or getting Nielsen rate it to improve those CPMs? Thanks.
Adam Symson: Hey, Steven, it’s Adam. So let me take the second question first. Yes, because we just launched Court TV earlier this year, today most of that advertising is direct response. Now that we're available in about 90% of U.S. households and are Nielsen rated, where we'll be moving next year towards the brand advertising we expect, but it's going to follow the same trajectory that all of our multicast brands have, mostly direct response in the beginning and then the slow transition to the -- from direct response to hybrid direct response and general market advertising. On your question about the digital audio space, we're really pleased with the progress the markets making. The marketplace and digital audio obviously growing quickly, as consumer habits change, specifically, podcasting as well. We expect podcasting to be a $1 billion marketplace, probably within the next year or two. Obviously, we've seen the same numbers you are. And that's why we've been so bullish on the opportunity for Scripps in the space. We'll continue to look at all opportunities as they present themselves in the digital audio space and take the marketplace’s development as it comes.
Operator: Next go to Kyle Evans with Stephens.
Kyle Evans: I wanted to kind of double back to get a little bit tailor point on two questions that were asked by Dan. Adam, you mentioned that there was a comfort level, which you can get to on leverage where you can start thinking about kind of a different capital allocation and just deleverage. Could you put some brackets around what that leverage level is? And then, I've got some follow-ups.
Adam Symson: Yeah, so let me speak broadly. As most of you know, Scripps has historically been around 3, 3.5, and that's where we’ve sort of always scene our sweet spot relative to when we would restart a stock buyback program or change sort of our view. Lisa, do you want to talk a little bit about that?
Lisa Knutson: Yeah, Kyle, we said, in the next 12 months, we would be somewhere between the mid and low-4s. I think we would look at restarting that stock buyback once we were in the number would start with a 3. So that's our priority over the next 12 to 18 months is to -- really to get that down below 4, and then restart our -- really take a balanced approach to our capital allocation strategy.
Kyle Evans: Brian, you talked a little bit about state-by-state cycle trends. You guys had a very, very strong 2018. I guess, I'm just looking at the pro forma 2018 numbers, and wondering if you think we're flat to up from there in 2020, and then also along the lines of a strong second half '18 political. Any way for us to think clearly about the reverse displacement you're going to get this year? Is that just kind of lost in the numbers?
Brian Lawlor: I think it's going to get lost in the numbers. Again, I think, I talked about three states, four markets where we’ve really had some displacement that would have happened mostly in a four or five week period, and I think we'll be able to make up most of that. So I think it's mostly upside, as we're thinking about 2019. And as we look out to 2020, you referenced a pro forma number in 2018 somewhere around $196 million. So we haven't yet finished putting pen the pencil on this, but we clearly see upside from that. Look, a lot is going to depend on how quickly the democrats can kind of narrow the field. The sooner they can get to one candidate the more revenue upside opportunity we have. If the democrats drag out to the primary to June or their convention, we have a short window for the upside on that. But in a perfect scenario, candidates will be secured a nomination in March or early April. And then once those two candidates for each side are determined, then that starts the active spending. So I think we'll be watching that early period very well. But clearly, based on the help of the ecosystem and our footprint, I would expect a positive number beyond the historical '18 pro forma.
Kyle Evans: Brian, how do you -- could you comment on sub cap trends and re-trends in 3Q on a pro forma basis and kind of what you’re factoring into your outlook? We had some of your peers seem to get caught in the satellite blackout crossfire. I was wondering what you’ve seen there?
A – Adam Symson: Hi, good morning, Kyle. It’s Adam. I’m going to take this one. Our Pay-TV households were down just a bit from the last reporting period, ending in June. And most of that sub decline, I think, as you described, came from the satellite providers. So I was actually pretty encouraged by this week’s dish sub-count report that went through September. We’re obviously also still seeing growth in the virtual MVPD households. So that sort of where we see it, we think we’re sort of at a point in time right now.
Kyle Evans: Got it. Lastly, Laura, just an update on Newsy kind of where you getting your best engagement with consumers, what you think -- if there are any constrains there whether or not they are on the supply or the demand side? And kind of how you envision direct sales versus more open auction sales in the future? Thanks.
A – Laura Tomlin: Good morning. Right now, I said, most of sort of the both the audience and revenue growth is still really driven by OTT. You can see we’ve been very pleased with the year-over-year growth rate seen at 75%. And Newsy continues to deliver a great product say younger consumers on the OTT platform. We’re seeing some small growth in cable. I think we remind ourselves that you can’t just turn on a cable network overnight, and expect it to grow and sell these. So this is a marathon, not a sprint, and I expect that we’ll see more cable ad revenue in 2020. And there is still a lot of demand on OTT. I think, I’ve mentioned in the past we’re typically sold out where we if we’re not sold out.
Kyle Evans: Great. Thank you. And lastly, congrats on the promotions over there. Thanks.
Operator: Our next question is from Marci Ryvicker with Wolfe Research. Please go ahead.
Marci Ryvicker: You sort of posted the best core of your peers, up almost 4%. So Brian, how should we think about going into the fourth quarter? Should that accelerate based on your comments on October? And then secondly, Adam, can you just clarify the free cash flow comments that you made. It sounds like there could be upside to free cash flow when you say we expect Scripps to generate, significantly higher free cash flow in 2020, let me otherwise what is expected in the press release? Thanks.
A – Brian Lawlor: Hey, Marci, it’s Brian. Thanks for the complement on core. We’ve really proud of the efforts of our sellers. And as we talked about what seven of our eight bit largest categories were up. And I think, as I said in the prepared comments, I think we’re just really pleased that the categories that speak to people in local markets having money and disposable income spend on furniture, on bedding, on travel and leisure, on travel and cruises, and things like that. I mean all these sub categories are up, significantly, jewellery, shoes, appliances up double-digits everywhere. It really gives us a lot of hope that our local economy and our local markets are very healthy, and they’re spending money. And we’re taking advantage of that on the stronger new business effort. I think it’s showing in our numbers. I did say in my prepared remarks, October was outstanding, obviously, our goal against -- because of political – it’s not surprising, but it was better than we expected, and November is very strong as well. So I think we feel really good about fourth quarter right now.
A – Adam Symson: Good morning, Marci. Yeah, so we reiterated our view on free cash flow for next year. But as you pointed out, with the strong political year next year there could be that upside for additional free cash flow.
Operator: The next question is from Michael Kupinski with Noble Capital Markets. Please go ahead.
Michael Kupinski: Congratulations on the quarter, and congratulations on the promotions. First, excuse me -- I would like to talk a little bit about Katz. The revenues were a little softer than I expected, especially, due to the launch of Court TV. And it's kind of showed a little deceleration from the earlier in the year. And I was wondering if you can give us a little colour on the revenues for the quarter. Should we anticipates there will be an acceleration of the rate of growth coming -- in the coming quarters because of Court TV, just kind of, and of course, because of the high-profile Court things that we're starting to see there. But could you just give us a little colour there?
Lisa Knutson: Yeah. So Mike, it's Lisa, I'll jump in and then I think Brian will add some colour. I don't think we've seen a deceleration. Consistently, we've seen growth 18, 20, for the third quarter, it was 19%, so pretty consistent growth rates throughout 2019. Brian, I don't know if you want to -- just ad a little bit of colour to that.
Brian Lawlor: Yeah, Mike, obviously, that we launched on May 8th. We had 63% in the country when we launched. And so we're just beginning to get the brand out there, to the earlier question, by Steven. It's -- we're laying indirect response, just, it's a brand new network. No numbers when you start up. So, I think, Court TV is building toward what we expected to be. I think we expected a slow crawl in terms of the revenue, but I think about every week the revenue continues to grow with the addition of the other 30% of the country this week. We saw a big jump up, and more importantly, we got a lot of positive feedback from our DR clients at their phone take rates had significantly picked up. So we feel really good about Court. As Lisa said, almost 20% growth for the business with Court, really not contributing much at all to that, so that speaks to the strength of Bounce and Laff and Grit. They're really strong right now with a lot of double-digit momentum. And as Court gets up to pace, I think you're going to see the benefit as we get into the middle of next year.
Michael Kupinski: And Brian, since I was wondering as you’re following-up on Marci’s question on core. Have you noticed any particular differences between some of your smaller markets and your larger markets -- number of broadcasters have indicated that National advertising seems to be pretty strong with the exception of auto? Can you just give us a little added colour on core at this point?
Brian Lawlor: We had a good year on National also. And we saw a lot of stability in the category, some growth in different places. Local has clearly been our strength. We were up mid single-digits inside the quarter on the Local side. But I think -- the good news is our large markets are healthy, some of our biggest spot growth that we saw in the audits, double-digit growth in markets like Tampa, and Kansas City, and Las Vegas. So the big markets are very healthy. But I think our – many of our small markets are pretty healthy as well. It's just -- there's a smaller opportunity there.
Michael Kupinski: And then on Newsy, I want to go back to that. Can you talk about the number of cable subs that it currently has? Has that increased over the quarter? And then, is it getting the ratings that you were expecting on cable? And can you talk about the prospect of adding more coverage on cable?
Laura Tomlin: Hi, Mike, it's Laura. We are hovering right around 40 million pay-TV subscribers right now. Over the last quarter, I think we've added a few on the virtual MVPD side. As it relates to ratings on cable, we currently use a host of data to inform our content strategies, and we just recently became rated. So it's really early. And as I mentioned a little bit earlier, it's a marathon, not a sprint. We're going to – it takes time for folks to find Newsy and our channel guides, but we've seen great demand for the product that Newsy is putting out there being objective and authentic, and we expect that the subscribers on cable will follow suit, like our OTT audience have.
Operator: Our next question is from Craig Huber with Huber Research Partners. Please go ahead.
Craig Huber: I have two questions. First, on the TV side, Brian, can you talk a little bit about auto a little bit further what are you seeing there post the anniversary of the election a year ago? How is it look in your mind for November and December?
Brian Lawlor: Yeah, hey, Craig, it's Brian. Look, I thought we had a pretty decent quarter in terms of automotive in the third quarter. It was down low-single-digits. So as you know, that's kind of the best performance we've had in a while. Inside of auto, I think that's where we saw some excitement. Our domestic dealer groups were up double digits. Foreign dealer groups were about flat. We were able to grow our individual dealers, mid single-digits. We had a couple of the big brands that were up across all of their brands. So I think it look good. Obviously, October, with the displacement last year, auto is up significantly. And we like the way it's tracking for the rest of the quarter.
Craig Huber: As you sensed up Brian, the second half of November and December could be up for auto, or is that too ambitious?
Brian Lawlor: I don't think it's too ambitious, but it is too early for me to have some conviction on my comment. I think, auto, definitely for December, gets laid in with year-end close-outs and some new models and deals to finish the year and capture market share. So it's very typical for auto to build through the fourth quarter, and I would expect that to be the case. The good news was, I think, we're all nervous about the strike, the General Motors strike, and that had no impact on us. There were virtually no cancellations or no pullbacks. As a result of that, they were able to get it resolve before meaningfully affected the local dealers.
Craig Huber: And you mentioned the retail category, which, Brian has not been strong, some parts of the last two years to say. What do you make of it that right now that the strength of local economies you're talking about? I mean, given all the store closures and bankruptcies out there, it's interesting your numbers are doing well there?
Brian Lawlor: Yeah, they're doing really well. By far, the best category -- the best quarter we've seen in a long time for retail, just because of the depth of it. Sometimes it can be driven by a singular subcategory, but furniture was up, medicine was up, bedding was up, appliances were up, jewellery, stores, pet, I mean, retail had a really good quarter, and perhaps the strongest of that and the biggest subset of that is furniture, which was up almost double digits. We had a really good retail quarter, which gives us a lot of optimism as we head toward the holiday season.
Craig Huber: I want to ask you, Brian, on re-trends subs. So I think, Adam that was down slightly. So I think that down about 1% the latest for the numbers you have there?
Brian Lawlor: We were down about 2% Craig.
Craig Huber: Down 2%, okay. And then also all the TV acquisitions you closed on here recently, Brian, just curious, the number of slots you can put in there for extra news casts at those acquisitions, is there much availability just putting more news hours there over the course of week?
Brian Lawlor: There is. I think, obviously, a couple of stations, so if I include Cordillera, a bunch of the stations are big for us, and I think that maybe some expansion into weekend and maybe some expansion on some of the CWs there. But I think, as I look at the Tribune, I think there is quite a bit of opportunities, especially because of the large markets of New York, Miami, Phoenix, our all CWs, and we do see an opportunity for news expansions in all of those markets.
A – Adam Symson: Hey, I would just add Craig that the expansion of news for us remains an opportunity for us to continue to serve out our journalist to commission. And obviously, ahead of the election maximize our yield for those markets.
Craig Huber: I think my last TV question, you touched on this, I just want to get there clarity, I mean, do the re-trends revenue number in the quarter, I guess, outlook for the fourth quarter, you’re saying part of its been hurt by dissynergy. Maybe you can just touch on a little bit further. I mean, I also understand you had about $3 million re-trends sub equipped for renewal at mid-year, so obviously, sequentially versus the re-trends if we had in the second quarter on a pro forma basis should be up on that, but obviously, in offset you’re saying by this dissynergies stuff. So maybe you can just talk a little bit further on that again. Thank you.
Lisa Knutson: Yeah. Craig, I would point you back to our release back in September 2019 when we closed on Tribune Nexstar divestitures, we gave full pro forma numbers that if we had on the station back to -- beginning of 2018. So you’ll be able to sort of dig into those numbers there.
Craig Huber: Laura, right. Then looking at data -- I’m looking at those right now, looks like you had $112 million in the June quarter for re-trends, $113.5 million called in the March quarter. I guess you reported $109 million in the September quarter.
Lisa Knutson: Yeah. And I think, Brian, mentioned a few moments back the CWs, so really most of the dissynergies were associated with the CWs that will renegotiate next year.
Brian Lawlor: Yeah, I think, Craig, this is just a bunch of moving parts on that. Obviously, we did have some subs that came up, and we had some step-ups inside of that. But beyond that, we did have this CW to synergies that I explained a little bit earlier, and we have had some sub declines. So I think the synergies and the sub decline sort of offset the step-ups, but those were really not meaningful relative to what we’re about to get with the Comcast step-up at the end of the year, and then, the first half of the year, nearly 50% of our subs next year. So I think there were some moving parts in the back half of this year to kind of -- to some degree cancel each other out, but I think there is a lot of upside as we look to 2020.
Craig Huber: I just have one more TV question, sorry. 2016 pro forma political number, do you have that number handy?
Brian Lawlor: $134 million.
Craig Huber: Okay. And then how did Triton do-- this is my last question. How did Triton do on the pro forma basis year-over-year place for revenues?
Lisa Knutson: Triton’s growth is -- and my with our expectations, we did earlier this year sell a non-core asset. So we will see the impact on Triton’s revenue growth for a few quarters. But outside of that, they’re really in line with our expectations in, and that decision to sell the non-core asset gives the team really the ability to focus on the two core revenue streams of infrastructure and measurement.
Craig Huber: That means an underlying is up about 10% or so?
Lisa Knutson: Yes. Yeah. I think it’s low teens.
Operator: [Operator Instructions] Next we'll go to Davis Hebert with Wells Fargo. Please go ahead.
Davis Hebert: Just a couple of quick ones from me. I appreciate the comments from a leverage trajectory. If you could just give all the moving parts, the LAQ leverage as of 9.30?
Lisa Knutson: Yes, that would be 5.2.
Davis Hebert: And that includes your experts Comcast?
Lisa Knutson: That is our adjusted pro forma, so it includes Comcast.
Davis Hebert: And then last question, kind of alluding to Steve's earlier question on podcast valuations, there's been a couple of other transactions, I guess, in your National Media space. Cheddar was sold to Altice, and then TEGNA bought Justice and Quest. How do you think that translates to valuations for Katz and Newsy respectively?
Brian Lawlor: I think both of them are strong affirmations of the value we're building for shareholders. I mean, for a long time, both at Newsy and Katz and as well in the podcasting business, first Midroll, and now with the name Stitcher, we've talked about our modest investments to create shareholder value in these marketplaces, and we believe we're doing exactly that. Obviously, this company has a long history of creating and then unleashing shareholder value oftentimes through transactions. But at this moment, we're totally focused on organically growing those businesses, and yielding the value within the company.
Operator: And with no further questions, I'll turn it back to the company for any closing comments.
Lisa Knutson: Thank you. Thanks everyone for joining us today.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.